Operator: This is the conference operator. Welcome to the RLJ Lodging Trust Third Quarter 2019 Earnings Conference Call. [Operator Instructions]. I would like to turn the conference over to Nikhil Bhalla, RLJ's Vice President of Finance and Treasurer. Please go ahead.
Nikhil Bhalla: Thank you, Operator. Good morning, and welcome to RLJ Lodging Trust's 2019 Third Quarter Earnings Call. On today's call, Leslie Hale, our President and Chief Executive Officer, will discuss key highlights for the quarter. Sean Mahoney, our Executive Vice President and Chief Financial Officer, will discuss the company's operational and financial results and guidance. Tom Bardenett, our Executive Vice President of Asset Management, will be available for Q&A.  Forward-looking statements made on this call are subject to numerous risks and uncertainties that may lead the company's actual results to differ materially from what had been communicated. Factors that may impact the results of the company can be found in the company's 10-Q and other reports filed with the SEC. The company undertakes no obligation to update forward-looking statements. Also, as we discuss certain non-GAAP measures, it may be helpful to review the reconciliations to GAAP located in our press release from last night.  I will now turn the call over to Leslie.
Leslie Hale: Thanks, Nikhil. Good morning, everyone, and thank you for joining us. During the third quarter, we continued to build on the momentum from our portfolio transformation. We made meaningful progress by executing on a number of fronts and generated solid operating results amid slowing operating trends. This includes closing on the sale of the 18-asset noncore portfolio that we previously announced and selling 1 additional hotel in September; executing the final termination agreement for 8 Wyndham hotels; repurchasing $47 million of shares during the quarter; maintaining a low levered balance sheet with net debt at only 3.2x EBITDA; and despite choppy fundamentals, achieving RevPAR which was largely in line with our expectations.  We are pleased with the progress we made in light of the moderating economic trends in the third quarter, which were hampered by the uncertainty associated with the trade wars and geopolitical events. Key indicators such as business investment softened further, which continued to constrain business transient demand. And although the U.S. consumer remained healthy, the growth in the consumer spending decelerated from prior quarters, which likely impacted leisure transient demand. These trends resulted in overall lodging demand softening during the third quarter, especially in the urban and top 25 markets.  Against this backdrop, our third quarter RevPAR declined slightly by 0.3%. Our performance was also impacted by Hurricane Dorian as a slow-moving hurricane constrained demand for several days around the heavily traveled Labor Day weekend, diminishing the positive lift we expected from the Jewish holiday shift in September. Additionally, consistent with the broader trends in the industry, we experienced a softening in the corporate transient segment across most of our markets.  Despite these headwinds, we are pleased that we outperformed the urban segment of the industry as well as the top 25 markets and also gained market share. Our outperformance was led by strong growth in a number of markets, including those where we invested significant capital last year. Among our top markets, Louisville achieved robust RevPAR growth of 43% driven by our Louisville Marriott Downtown, which benefited from a strong in-house group base, and the ramp-up of a newly renovated convention center. We expect this strong performance to continue through the fourth quarter.  In Austin, with our improved footprint in the CBD, our hotels achieved strong growth of 11%, which significantly outperformed the overall market. Our hotels benefited from the compression created by strong citywide and healthy business transient demand. We expect some of these positive trends to continue through the remainder of the year.  Our hotels in D.C. achieved solid RevPAR growth of 3.2%, benefiting from strong in-house group demand and compression created by a number of events in the CBD. During the quarter, we improved our geographic footprint in this market by selling one additional noncore hotel. Looking ahead, we expect growth to moderate in the fourth quarter due to fewer citywides and renovations at one of our hotels.  Denver is another market where our growth profile improved due to the sale of several noncore assets. Our hotels achieved 3.2% RevPAR growth during the third quarter, benefiting from one large citywide and strong corporate demand. Looking to the fourth quarter, we expect our performance to moderate due to fewer citywides.  Our hotels in Southern California also achieved positive RevPAR growth of 0.9% during the quarter, helped by a strong in-house group base and leisure demand over the weekends. However, in light of the softer citywides in San Diego and one hotel under renovation, we expect our RevPAR to contract in the fourth quarter.  In New York, our RevPAR declined by 2.4%. Although September benefited from the timing of the Jewish holidays, July and August were weak due to a combination of soft business transient and leisure demand. With Jewish holidays falling in October, we are expecting a soft fourth quarter.  Our Chicago and Northern California markets were both impacted by fewer citywides this quarter, with RevPAR declining by 2.6% and 3.2%, respectively. Although we had expected softer business transient trends during the third quarter in Northern California, we experienced incremental softness, which has continued into the fourth quarter. We expect Chicago to remain soft during the fourth quarter given fewer citywides. Finally, our South Florida market was impacted by approximately 350 basis points from Hurricane Dorian and one renovation. Given the softness in international travel trends and new supply, we expect RevPAR to contract during the fourth quarter. Hurricane Dorian also impacted a number of other markets such as Charleston, Tampa, New Orleans and Atlanta. Despite these headwinds, we are pleased that many of these markets achieved robust RevPAR growth, with Tampa, New Orleans and Charleston achieving solid RevPAR growth of 15%, 10.2% and 5.3%, respectively. With the sale of the noncore assets, our increased concentration in these long-term growth markets further amplifies the overall improved geographic footprint of our portfolio. Now with respect to transactions and capital deployment. As expected, we closed on the sale of the 18-asset portfolio in August and sold an additional noncore hotel in our D.C. market for almost $13 million. We've been pleased with the execution of our noncore dispositions this year, which achieved the strategic benefit of elevating our growth profile, unlocking meaningful embedded value and positioning us to drive NAV appreciation over time. Our current portfolio is largely aligned with our long-term vision. Our successful asset sales have created significant investment capacity. With a number of levers to pull, we are actively working to deploy this capacity thoughtfully by continuing to repurchase our shares which we regard as a highly accretive tool; by investing in ROI and brand conversion opportunities, including the Wyndham portfolio, where we are making significant progress and see strong interest from brands; and by pursuing incremental opportunities to reduce our cost of debt such as exploring the refinancing of the 6% FelCor bonds, which are callable in mid-2020 and represent an opportunity for substantial interest expense savings. We expect the deployment of our investment capacity to benefit our 2020 earnings. As we deploy capital, we will continue to take a highly disciplined and thoughtful approach to capital allocation.  Turning to our outlook for the remainder of the year. We expect the softening in the lodging demand that the industry experienced in the third quarter to continue throughout the fourth quarter. We also expect international travel in many markets to remain constrained and the weakness in corporate demand to be amplified by the shift of the Jewish holidays to October. These factors are expected to disproportionately impact the urban and top 25 markets.  As it relates to our portfolio, we expect recent industry trends to more than offset the strength in citywides and in-house group in many of our markets such as Northern California, Louisville and Tampa during the fourth quarter. As a result, we are reducing the top end of our RevPAR guidance, which implies a 50 basis points reduction at the midpoint from our previous guidance.  Despite slowing fundamentals, we are very pleased with the successful transformation of our portfolio, which has improved our platform and strengthened our balance sheet. We are well positioned with a portfolio of rooms-oriented, high-margin, premium-branded hotels in growth markets. Further, we have substantial investment capacity and are working to unlock the embedded value within our portfolio. Therefore, we believe that we can generate incremental shareholder value despite of a choppy macro environment.  I will now turn the call over to Sean for a more detailed review of our operating and financial highlights. Sean?
Sean Mahoney: Thanks, Leslie. Before discussing our third quarter results, please note the following. Our third quarter and year-to-date operating results include our 108 owned hotels as of September 30 and exclude the 18-hotel portfolio and the Residence Inn Columbia which were sold during the quarter. Our reported corporate adjusted EBITDA and FFO only include operating results from sold hotels during RLJ's ownership period.  With these housekeeping items out of the way, our third quarter RevPAR contraction of 0.3% was driven by a 0.8% decrease in average daily rate, partially offset by a 0.5 percentage point increase in occupancy. Monthly RevPAR results were flat in July with RevPAR growth of 0.1%, followed by contraction of 0.5% and 0.4% in August and September, respectively.  We were pleased that the portfolio outperformed the upscale, urban and top 25 markets and gained 50 basis points of market share from their competitive sets during the quarter. Our third quarter RevPAR growth was negatively impacted by approximately 40 basis points from Hurricane Dorian in September.  Total revenue grew 0.6% during the quarter, which exceeded the change in RevPAR due to a 4.6% increase in food and beverage revenues and an 8.1% increase in other departmental revenues, which was driven by the continued success of parking and other revenue initiatives.  From a segmentation standpoint, our third quarter benefited from a low single-digit increase in group revenues, which was driven by outperformance in Louisville and Tampa. These markets were partially offset by San Francisco, which was impacted by the shifting of a week-long citywide into the fourth quarter. That said, our group segment only represented approximately 17% of our third quarter room revenues. The positive group results were more than offset by a low single-digit decline in transient revenues. However, we continued our strategy to partially mitigate the soft transient demand trends through backfilling with group and contract business during the quarter.  Turning to the bottom line. Our third quarter pro forma hotel EBITDA was $113.6 million. Please note that our third quarter pro forma hotel EBITDA was negatively impacted by approximately $2.3 million as a result of Hurricane Dorian and the sale of the Residence Inn Columbia.  In terms of our operating margins, we were pleased that our asset management cost-containment initiatives limited the increase in third quarter operating costs to only 1.4%, which limited our hotel EBITDA margin contraction to 60 basis points. Our team is continuing to implement best practices to manage productivity and labor cost in this full employment environment.  Our third quarter operating results translated into adjusted EBITDA of $106.3 million and FFO per share of $0.46. Our third quarter adjusted EBITDA and FFO were reduced by the sale of the Residence Inn Columbia and the timing of the sale of Portfolio 18, which closed a couple of weeks earlier than expected. The total impact of these items was approximately $1.1 million. Turning to our fortress balance sheet. We ended the quarter with $2.2 billion of debt, approximately $845 million of unrestricted cash and net debt-to-EBITDA of 3.2x. We continue to maintain significant flexibility on our balance sheet. As of the end of the quarter, approximately 100% of our debt is fixed or hedged and 89 of our 108 hotels are unencumbered, representing approximately 80% of EBITDA. We will continue to explore opportunities to further ladder out maturities and lower interest expense. As it relates to capital expenditures, our full year capital program remains on track and on budget. We continue to expect $90 million to $110 million in 2019 renovations and expect full year renovation-related displacement of 40 to 50 basis points. Now let's turn to recent activity under our share repurchase program. Since the beginning of the year, we have repurchased 4 million shares for approximately $68 million at an average price slightly above $17 per share. We currently have approximately $192 million of remaining capacity under our share repurchase program. Looking forward, for the balance of 2019, we expect to continue returning capital to our shareholders through share repurchases and dividends. Our recent dispositions created significant investment capacity. As you would expect, we will remain highly disciplined as we deploy capital. We have a range of highly accretive alternatives to pursue, including share repurchases; multiple brand conversion opportunities, including the 8 Wyndham hotels; and high-impact ROI opportunities. We are finalizing our 2020 capital allocation plan, which will include the deployment of a portion of our investment capacity. We remain committed to continuously evaluate capital allocation alternatives based on changes to market conditions and the relative value of capital allocation alternatives. I would now like to provide additional color on the assumptions underlying our updated outlook. Although our third quarter was in line with our expectations, the recent softening trends and fundamentals have continued into the fourth quarter. Our revised outlook incorporates the sale of the Residence Inn Columbia and our third quarter actual results, including the impact of Hurricane Dorian and the earlier timing of the sale of Portfolio 18.  In addition, we incorporated the following assumptions into our revised outlook. We expect the recent softness in business transient will continue through the fourth quarter. We now expect flat RevPAR at our Northern California hotels due to softer-than-expected demand trends despite the favorable citywides and easy comp to prior year strike in San Francisco. We continue to expect Louisville to outperform, driven by the continuation of post-renovation ramp-up and strong group production at the Louisville Marriott. And finally, we will be impacted by soft citywides in Washington, D.C., Chicago, Houston and San Diego. Based on these trends, we concluded that the high end of our prior guidance ranges were not achievable and reduced the high end of these ranges while maintaining the low end of the prior ranges.  Our updated RevPAR outlook implies a 50 basis point reduction from the midpoint of prior outlook. For 2019, we now expect RevPAR growth to range between flat and up 1%; hotel EBITDA margins in the range of 31.6% to 32.2%; consolidated hotel EBITDA to range between $448 million and $460 million; adjusted EBITDA to range between $453.5 million and $460.5 million; and adjusted FFO per share to be between $1.98 and $2.04, which incorporates shares repurchased to date but no additional repurchases. Our revised outlook assumes no additional acquisitions, dispositions, refinancings or share repurchases. Please refer to the supplemental information which we posted on our website last evening and includes pro forma results for our 108-hotel portfolio over the past 4 quarters.  Thank you. And this concludes our prepared remarks. We will now open the lines for Q&A. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Austin Wurschmidt with KeyBanc Capital.
Austin Wurschmidt: With the Wyndham transaction now finalized, I was wondering if you could give us a better sense around the mechanics behind how the loss of the NOI guarantee is going to flow through the P&L. Just curious if that $10 million goes away Jan 1 or if it's more of a gradual decrease as the conversions are underway.
Leslie Hale: Austin, thanks for the question. Since our last call, we were able to finalize it, as I discussed in my prepared remarks. And we've been able to structure the deal in a way such that it's going to allow us to recognize a similar contribution in 2020 that we received in 2019 for the termination payment. Said differently, Austin, we don't expect any drop in EBITDA as a result of the termination of the Wyndham guarantee in 2020. The mechanics are kind of technical. But said -- as long as Wyndham is involved, we'll be amortizing that payment over their involvement.
Austin Wurschmidt: Got it. Appreciate the clarification there. And then how far along are you at this point with respect to identifying which Wyndham hotels you'd like to reposition first and what brands you think might make the most sense?
Leslie Hale: Yes. Austin, we are super excited about this opportunity and really think there's great value here, as we've discussed on many calls. We are in active discussions with the major brands that you would expect us to be with: Hilton, Hyatt, Marriott and IHG. We are in the process of reviewing proposals and narrowing down the brands. We've had great interest.  We expect to be in a position to finalize the brand selections for several of the hotels by the end of this year, early next year, which would put us in a position to be able to commence renovations on 1 or 2 of the assets next year. Our ability to comment on the size of the renovation and the duration is really going to be predicated on a final brand selection, which we expect to have. And so we look forward to being able to provide more color on that on our next call.
Austin Wurschmidt: Has the softer operating environment changed your thinking about the timing of the rebrandings or just any of the sort of high-impact ROI opportunities that you mentioned in the prepared remarks?
Leslie Hale: No. If you sort of think about the span of ROI projects that we have, we've identified a number of projects that we've sort of classified as $150 million to $200 million. And they span from, obviously, the conversions, as we talked about, but also the space reconfigurations, operating ROIs and energy ROIs. And so if you think about space reconfiguration, taking a pool, which is a nonrevenue-generating space, and converting it into a meeting space, there's no risk in that because it wasn't generating any revenue before. So anything incremental will create value. Thinking about it from an operation perspective and adding parking, limited risk associated with that because you weren't charging before and now you're charging for it. And also from an energy perspective, you're going to continue to have energy costs regardless of where we are in the cycle. So no, it hasn't changed our view on deploying capital from an ROI perspective.
Operator: Our next question comes from the line of Michael Bellisario with Baird.
Michael Bellisario: Just kind of on that same topic of capital allocation, kind of can you give us an update about where acquisitions fit relative to the returns that you'd see on the ROI projects and the buybacks that you're doing today?
Leslie Hale: Yes. The capacity that we have and the strength of our balance sheet really provides us optionality, Mike, and so we don't really think that our ability to deploy capital is mutually exclusive. Having said that, as we look to be balanced and thoughtful, we are going to look at relative returns across the various options.  And so from our perspective, while acquisitions aren't necessarily off the table, we do recognize that the bar is higher for an acquisition, and that's got to be accretive on a number of fronts, right? Accretive on the operating metrics from a RevPAR perspective, accretive on the growth profile, accretive on the geographical footprint benefits for our overall portfolio. And it has to have catalysts to create value within the asset in terms of why we're buying it. And then, of course, it needs to fit in the middle of the fairway in terms of what we like to invest in, which is rooms-oriented, high-margin and premium-branded hotels. And so it's not off the table, but we do recognize on a relative basis that the bar is higher.  In terms of the other avenues for deploying capital, you've seen that we've been active on the buybacks. We're going to continue to be active on the buybacks. Obviously, market conditions will dictate the volume and also, obviously, the discount to our NAV as well. So we'll continue to be active on that.  Additionally, we're going to continue to look at opportunities on the balance sheet side relative to the bonds that are coming due next year. And so what I would say is that the strength of our balance sheet and the amount of capacity we have gives us the opportunity to optimize our capital deployment across the spectrum of buybacks, investing in our ROIs as well as acquisitions to the extent that they materialize.
Michael Bellisario: Got it. That's helpful. And then on the flip side, the disposition activity that you guys have completed, obviously, better underlying, more concentrated real estate today. But can you maybe help us understand how your mix of business has shifted because of the asset sales? How much more exposed are you to the corporate business traveler? How has the group mix shifted following the asset sales? Any intel there would be very helpful.
Thomas Bardenett: Sure. Mike, this is Tom Bardenett. So as far as the mix of business, our portfolio hasn't really shifted that much. When we look at the portfolio, we still have about the same amount of group percentage, where we attract about 17% to 20% of the group side. We have had to shift, though, if you will, based on what's happening on the business transient side to try to group up as well as put more contract business into our hotels. And even in the phase when we're looking at our full-service hotels, one of the biggest areas for capital allocation is some of these reimaging of our Embassy Suites, which is allowing us to try to change the mix based on what we're doing with our lobby evolutions by gaining more space and having that opportunity to get more group business, which we think will help us ultimately change the mix a little bit and get a higher-rated as well as catering per occupied room to be able to provide more profitability.  So the dispositions certainly have helped us on overall RevPAR. But when we look at mix and segmentation, it hasn't really shifted that much when you look at what we still do and what we have to do to become profitable.
Operator: Our next question comes from the line of Anthony Powell with Barclays.
Anthony Powell: Could you provide an update on where the mix stands in the sales process? And what's your appetite for additional noncore asset sales given your strong capacity right now?
Leslie Hale: Thanks, Anthony. On additional asset sales, look, we've -- as we mentioned on our last call, we really completed the heavy lifting around reshaping our portfolio with the business we did over the summer. And the vast majority of our EBITDA that we own is aligned with our long-term vision. We're going to, on a forward basis, be more opportunistic in terms of asset sales, and you saw us do that on Columbia. It was an asset that, from a location perspective, was not core to us. And it was opportunistic because the management agreement was rolling and we had a chance to sell it unencumbered. So that's just an example being opportunistic on future asset sales.  Look, as it relates to the Knick, we have executed well on all of our dispositions, and we've exceeded our targets as it relates to the FelCor and legacy RLJ assets. We have significant capacity and strong balance sheet, which gives us ability to remain disciplined, Anthony. And we have a high conviction in the value of this asset. And we're going to be patient. This is an asset that's iconic. It's in an irreplaceable location, and it's in a market that we believe in long term. And then it continues to perform well. It was up 1.3% in the third quarter. It's up 4% year-to-date. And so we're going to be patient, Anthony, as it relates to this asset. And we believe that we'll get the value ultimately.
Anthony Powell: Okay. And on to just the fundamentals, I mean, you mentioned international inbound a lot on the call. What's your international mix currently? And where do you think we are in kind of the headwinds for that segment? Can we be flat in that business next year? Or do we expect continued declines there?
Leslie Hale: So Anthony, to answer the first part of your question, international is about 2% of our overall portfolio, with the biggest markets being New York which is about 18% to 20%; and South Florida, which is about 10%. And we think it's going to continue to be a headwind. Obviously, the dollar continues to be strong. And obviously, the rhetoric coming out of our government these days is not helpful as well. And so we continue to see it as a headwind across some markets. We're also seeing some softness in Houston related to that as well in the medical center, which gets a lot of international inbound associated with that and also imagine L.A. and San Francisco as well.
Anthony Powell: And just on that last one, San Francisco, you mentioned that you expect it to be flat despite the sales force shifting into the quarter. What's driving that rather sharp reduction in expectations there?
Sean Mahoney: Sure. Thanks, Anthony. I mean I think our view on Northern California throughout the year, particularly in the third and fourth quarter, it had a great start of the year in Northern California. But our expectations -- and the third quarter started muted because of the timing of sales force. And we underperformed relative to what we would have thought at the beginning of the quarter by, call it, 300 basis points in the third quarter, and we took a similar adjustment to our expectations for the fourth quarter. And so I think what's driving that is not the citywide activities as such, which was known. It's that incremental business transient traveler within Northern California that is impacting our portfolio.  If you drill down a little deeper, the CBD assets within San Francisco are still performing well, and we expect them to perform well within the fourth quarter. But where we're seeing some softness is in some of our Silicon Valley assets, which are being impacted. There is some renovation disruption later in the fourth quarter, which is impacting our fourth quarter as well. But we can do that. But it's really -- it's the demand going out to those other Northern California markets.
Operator: Our next question comes from the line of Wes Golladay with RBC Capital Markets.
Wesley Golladay: I just want to look at the capital deployment for next year. Obviously, you highlighted the FelCor bonds as something you could potentially take out. Would the initial plan to be to refinance that? Or would you look just to pay off using cash until you find other uses for your cash pile?
Sean Mahoney: Thanks, Wes. We're evaluating the alternatives right now. We have the ability under our balance sheet and the cash to deleverage if we want to. There's a great value creation from refinancing at current rates for corporate debt would be about 300 basis points inside of where that debt sits today, which realizes on an annualized basis, call it, $14 million of interest savings. But we're going to make that call next year based on where we read the tea leaves with respect to the financing markets. But we are confident that there's significant interest rate savings there. It's just a function of whether we go like-for-like on a refinancing or whether we deleverage a little bit as part of that. And we'll be -- we'll have more color on that early in 2020 when we're firmer on that decision.
Wesley Golladay: Okay. And then can I get your outlook for supply next year? What markets stand out as getting better or maybe a little worse?
Leslie Hale: Yes. So Wes, what I would generally say, though, is that we generally expect overall 2020 to be similar to 2019. Lines are really blurring between years. And so beginning of the year projections are generally off so I would -- just keep that in mind. But we're seeing deceleration in several markets on supply side. Denver, Houston, Louisville stand out. And then our biggest supply headwind is in Austin, expected to be kind of up 7% to 8%. But what I would say to you about Austin is that Austin continues as a surprise to the upside. Demand is expected to be up 8% next year. Austin just continues to find ways to find demand in that market, and so we believe in that market long term. And then our position is also better within the Austin market because we have the greatest concentration in CBD post our sales. And so while the absolute number is higher, our position relative to that supply is much better. And so we feel good about Austin.
Wesley Golladay: Okay. And then maybe sticking with the supply being pushed out a bit. Are you seeing any delays in what it takes to complete a renovation for your assets?
Leslie Hale: No. We're not seeing delays. I mean, obviously, I think we've been in sort of a higher labor cost, higher material cost for a while. And so that's baked into our plans with enough cushion and enough reserves to get the products done on time and on schedule relative to the way that we planned the renovation. We have a very experienced in-house team that has executed very well, both on normal renovations and also conversions. We have an extensive history about being able to do it. And I think the thing that makes us unique is that we have a full in-house team, design and execution.
Operator: Our next question comes from the line of Chris Woronka with Deutsche Bank.
Chris Woronka: Ancillary fees have definitely been a great tailwind for you all and many of your peers. I guess I know it's hard to model a little bit, but is there a tail to that? Do you think the level of upside you've been getting from those can continue for the next couple of years?
Thomas Bardenett: So we've been very focused on ancillary revenues. And we've been very pleased with, so far, many of those are returning a great investment based on some capital we're putting against it. So from a modeling, I'll let Sean handle that, but let me tell you a little bit about the examples that we think are going to continue to be positive for us.  Certainly, on the food and beverage, we've had growth. In quarter 3, we're up 4.6%. We continue to see the benefits of the lobby renovations that we talked about earlier, making a more beverage-centric deliverable for our Embassy Suites. When we think about our other revenues in the catering and banquet space, we've been spending money in Miami, Boston, Charleston, Louisville as well as Union Square on our ballroom renovations, which has really returned a better group mix for us in regards to how we're able to benefit on the food and beverage side. So we continue to see food and beverage as an opportunity. And then even with the Wyndham conversions, we will potentially have opportunities, depending upon what brand we pick to do some more space reconfigurations within that portfolio.  On the parking initiatives, I know Leslie referred to it earlier. Again, we continue to be up to prior year, spending a little bit of capital to make sure that we have arms when people come in so there's no labor at the location where we're having parking. And even with Uber and Lyft, we still see Lyft, knowing that we're going to have an opportunity to be in urban markets where people need to drive in many locations.  And then lastly, on the miscellaneous, whether it's attrition, cancellation fees, up-selling an opportunity to -- based on room configurations, we think that, that will still continue to drive more revenue from a miscellaneous standpoint, which is really bankable RevPAR at the end of the day.
Sean Mahoney: And then, Chris, I'll bolt on to a couple of Tom's comments. One, specifically with the parking, parking is a subset of our ROI initiatives. And we are -- we have a lot of runway left within the portfolio to continue to drive parking revenues throughout the portfolio. And we think we have several years of initiatives that we're going to pull through there, and so we continue to be confident there.  The other thing that I'll note for our portfolio maybe relative to some of our other peers is that we are less exposed to the risk of sort of resort facility fee, which is an industry risk just because the nature of our portfolio is just not a big part of our ancillary revenue than it would be maybe for some of our peers.  And so when I -- when you think about sort of those other revenues and a lot of lift folks are getting, that's not the key part of our story like it would be for some others. And so that gives us more confidence in the sustainability of that other revenue growth.
Chris Woronka: Okay. Great. Appreciate all the color. And then understanding that the negotiations with brands are still ongoing, would you expect to get key money or at least some form of downside protection as you're going through those renovations next year or into 2021?
Leslie Hale: So keep in mind, we're in active discussions and reviewing proposals right now. But I would say to you, absolutely expect that key money would be a part of our negotiations. And then some form of other opportunities may be horse-traded, but we would expect to get some sort of support from the brands.
Chris Woronka: Okay. Great. And obviously, a lot of progress on the asset sale front the last couple of years. I guess, by definition, you always kind of have a bottom 10%. So what's your kind of appetite to continue pruning the portfolio as the cycle moves on and private market pricing remains really strong?
Leslie Hale: As I mentioned before, we're not actively marketing any assets, but we will be opportunistic in terms of selling assets. But the reality of it is with 100-plus assets, you have to be active portfolio management all the time. And so we'll be looking at our portfolio over the coming years and determining whether or not we need to prune something. But right now, we're not active. We're just going to be opportunistic if the opportunity presents itself to trade some incremental assets.
Sean Mahoney: And just to add on to Leslie's comments, Chris, we're really happy with where our portfolio sits today. We've done the heavy lifting on the dispositions this year, and that was intended to get the portfolio where we want it to be long term. And so within Leslie's prepared remarks, the statement that the portfolio generally aligns with what we want long term in our vision shouldn't be lost in the group. That's important to us. And think we're through the heavy lifting.
Operator: Our next question comes from the line of Neil Malkin with Capital One Securities.
Neil Malkin: Tom, a question for you. Embassy Suites as your biggest brand. And obviously, the configuration of those is such that you can serve the hollow middle of the hotel, a lot of open space. Can you just maybe talk about your current and future plans, what they are for maximizing the space or revenues, reconfigurations, adding rooms, whatever it may be just given that, that is the -- such a big part of the portfolio and opportunity?
Thomas Bardenett: Yes. So thanks, Neil, for the question. We've met with Hilton and had numerous conversations about what we want to be. And if you think about the elevations that you talked about, what existed in the initial build was koi ponds, tremendous amount of landscape, water features, not useful space but pretty space to take a picture and have an opportunity for people to really enjoy that atrium but not utilize the space as much as what's happening today from a consumer standpoint.  So what we've done is we have really changed the elevation to be able to be one elevation, where people can utilize the space throughout, and then created kind of public-private space to whether it's the comp breakfast or the actually -- opportunity for the evening reception and then bring our restaurant or beverage space out into the lobby so people want to spend time there and actually be more transactional. So we've had some concepts called Taste and Tap & Tavern on the food and beverage side and actually provided a much better environment to be able to purchase alcohol, spend time and create some camaraderie with the groups that we're attracting.  In addition to that, when you change that elevation, you actually add meeting space. So for instance, if an Embassy has 300 keys with 7,500 square feet, you could -- you only, in the past, probably service and maintain that group by using your ballroom or your breakout space. Now with the open-area atrium, you're now serving lunches, receptions and using that space as additional meeting space so you can actually book two groups in your ballroom and then use the atrium for that additional space. So we think that's proof positive.  And the other thing that we've done is, from room configurations, we do have part of ROI actually taking a few rooms back at -- by getting some additional keys, which is an immediate ROI, and locations that we think are going to be proof positive from an occupancy standpoint. And the ability to fill in a pool, which we had 2 in Buckhead, which is allowing us to create another 2,500 square feet in Buckhead midweek, that's a real positive for us to be able to drive that BT, special corporate and group that can produce a better catering productivity floors. So that's some of the things that we're doing in our Embassy Suites to be able to create a different value and attract the consumer that, quite honestly, midweek, will drive a higher average rate.
Sean Mahoney: Yes. Neil, this is Sean. With respect to being able to -- listen, this is a focus item for Hilton. It's a big part of their system, and we're a large owner of Embassy Suites relative to the system. So we have spent a lot of time with Hilton in one end and are believers in the reconcepting of the public space that Tom mentioned that will allow us, we think it's an upside potential within our portfolio, to drive incremental group business, et cetera, within the brand. But Hilton has done a great job in how they've repositioned the brand for the next 20 years as we think about what Embassy Suites is going to be all about, and we are a critical part of that discussion within Hilton.  So when you step back and think about where Embassy Suites fits in with our portfolio, it's a core holding for RLJ. And those -- as we continue to invest capital within those assets, we see a lot of upside over the next, call it, 1 to 5 years within our portfolio as we remix those hotels.
Neil Malkin: I appreciate that. And maybe, Leslie, for you. Can you just maybe give a breakdown of the leisure and the business transient guest or demand? Kind of since July, I know trends of demand has slowed. Any incremental color or anecdotes, things you're hearing that would lead you to believe that there's an inflection point coming, either negative or positive? That would be great.
Leslie Hale: So Neil, I just don't understand your question. Are you asking for sort of what are the data points that we're seeing that would suggest that there is softness in the leisure side? Is that what you're asking?
Neil Malkin: Well, I mean, yes, like leisure or the business, which obviously has been documented. But yes, either of those. And then I'm saying since you talked about weakness into the fourth quarter, and I'm just saying, have you seen anything incremental that will lead you to believe that, okay, we haven't quite bottomed out in terms of weakness, but we're actually getting worse or on the inverse, we've kind of maybe been through the sort of lull and maybe we'll come back a bit?
Leslie Hale: Yes. I would say, look, in general, the theme here is deceleration, right, on a number of fronts. Obviously, the economic backdrop is decelerating as we saw it from a GDP perspective. We saw business spend down 1.5 points in the quarter as well. And that is impacting business transient, which is a well-discussed topic. And then on the consumer side, while the consumer remains healthy, we did see consumer spending decelerate quarter-over-quarter. And we believe that, that is having an impact on the leisure side. When we look at the data points from a standpoint of weekend versus weekday, we saw some drops there on a trend basis on the occupancy side that would suggest that there's weakness in cracks there associated with the leisure traveler.  And so when you look at demand being down year-to-date 50 basis points and you look -- and you drill down even further and look at where the urban markets and the top 25 markets where we -- most of us replay and the degradation in performance there, the trend is clearly there. We think that it's going to persist, and that's why, obviously, we and most of our peers have brought down our guidance to reflect that. Go ahead.
Neil Malkin: Okay. But you're -- is there anything incremental about like either from your -- like major business contracts or corporates or anything like that, that would lead you to indicate things are changing maybe like a weaker negotiated rates for next year or cancellations, anything like that?
Thomas Bardenett: Yes. Actually, just the opposite. On the special corporate area, for instance, when you negotiate with the IBMs, the AT&Ts and the folks that have a discount based on volume production, we actually were up in quarter 3. So that was a proof positive that it's continuing to have demand in regards to what we're expecting.  I would think similar trends would happen into Q4 based on what we've seen early indications as well as what we're looking for 2020 with -- low single digits is what we're hearing from our management companies in regards to the negotiating for next year's results. And a lot of that is really dynamic pricing versus fixed pricing, trying to set you up based on how bar flows in regards to what you're quoting to be able to take advantage of high-demand days.  The other thing on the leisure side, which I think is -- sometimes people forget, but when a hurricane happens -- and specifically in our portfolio, we had 9 hotels in South Florida and then 2 in Charleston that had a mandatory evacuation over Labor Day weekend. So a lot of Q3 leisure was related to that 11 days of a stalled hurricane that, unfortunately, people were waiting to see where to go and what to travel around.  So we're still thinking leisure is positive. Our Embassy Suites portfolio really has that value proposition on leisure. So we think that's a short-term blip on the leisure side in regards to what occurred in Q3, just to give you a little bit more color.
Operator: Ladies and gentlemen, this concludes the Q&A session. I would now like to turn the conference back to Ms. Hale for any closing comments.
Leslie Hale: We want to thank you all for joining us today, and we are pleased to be able to report another quarter of progress. We look forward to seeing many of you guys next week at NAREIT and continuing our discussion around all the activity that we have within our portfolio. Thank you, guys.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.